Lance Montague Burbidge: Good morning from AIA Central in Hong Kong, and welcome to our 2023 Interim Results Question-and-Answer Session. I'm Lance Burbidge, Chief Investor Relations Officer. Together with me we have Lee Yuan Siong, our Group CEO and President; and Garth Jones, our group CFO. We also have our Regional Chief Executives and other members of our group executive committee with us in the room. I know this is a busy morning, but I hope you've had the chance to watch the 2 video presentations, which we posted to the website earlier today or read the transcript. Before we start the Q&A, Yuan Siong will make some opening remarks to tell you some key messages from the results.
Yuan Siong Lee: Good morning, everyone. AIA has delivered very strong results for the first half of 2023 with excellent new business momentum and growth in all of our key financial metrics. VONB grew by 37% for the group, as our unrivaled distribution platform has powered a very strong acceleration of sales momentum. AIA Hong Kong delivered an outstanding performance, more than doubling its VONB and we delivered double-digit growth in Mainland China, ASEAN and Tata AIA Life in India. Our excellent new business performance contributed to growth in EV equity to $70.6 billion, an operating ROEV of 13.3%, up nearly 4 percentage points from the full year 2022. Our large and diversified in-force portfolio drove growth in operating profit after tax and underlying free surplus generation. And our operating return on equity increased by 120 basis points to 14.2%. The group's capital position remained very strong, with free surplus of $16.3 billion, and the Board has declared an increase of 5% in the interim dividend. In addition, we have now returned $5.5 billion to shareholders through our ongoing share buyback program. These results again demonstrate the power of AIA's business model that enables us to capture the growth opportunities across Asia and deliver cash returns to shareholders. Now over to you for questions.
Operator: [Operator Instructions] Let's proceed, and our first question comes from Charles Zhou from Credit Suisse.
Charles Zhou: I think this is a very strong set of results and congratulations. And also, I think it's a strong beat to the consensus. So I have 2 questions. The first one is related to China. I think that 14% value of new business growth is a very decent growth, but still compared with some of your -- the China domestic peers, they probably have 20% to 30% growth. I would like to know the reason. Is it because you don't sell this controversial increasing sum assured for life products? Or what's the reason why you are lagging behind some of the domestic peers? Also, let's talk about the China outlook both in terms of the existing region and also the new regions. I think you applied the Henan province last year, right? And do we expect any new license to be given or you're going to apply new license? Still 1 to 2 license per year, is that still your target? And second, for margin. I know that AIA always say we focus on total business, not on margins, but I still got a question from the investor and the debate between savings and protection. We see the margin has declined in the first half due to the product and also channel, can you maybe elaborate about the margin and your focus on protection?
Yuan Siong Lee: Okay. I will just start off and then I'll hand over to Jacky to talk about China and Garth to talk about margin. I think I'm very pleased with the results that we delivered in China. As you know, in January, the market is still impacted by the spread of COVID. So from February to June, we were able to deliver very, very strong results, I think, in China. February to June year-on-year was 29% growth. Yes, we do not sell the increasing [ ISWL ] product through our agency channel. I think the results from our China business is excellent, and I'm very pleased with it. I think in terms of the China outlook, I'll hand over to Jacky now.
Jacky Chan: Yes. Thank you, Yuan Siong. In fact, I also want to reiterate that our fundamental driver in our [ AIA ] China business are very, very strong. As you said, AIA China, we don't sell, they are nonparticipating, increasing sum assured life for our agency, and we don't have identified sales in the first half. Yet from February to June after the subsiding of the COVID impact in China grew VONB by 29%, and our agency grew a strong double digit, both in terms of productivity in ANP per active agent and VONB per active agent. And in fact, the underlying fundamental of China in terms of the recruitment activity, sales -- selling a differentiated proposition remain very strong. Our new recruit in the second quarter actually grew by [ 38% ] compared to the first quarter. And as you know, during the pandemic time, majority -- the whole industry number of agents actually declined by 50%. But AIA China agency force remained intact. And as the COVID situation subside, we come up very strong. And I want to reiterate that, in fact, our differentiated Premier Agency in [ AIA ] China, they sell a lot of protection products while the market may fund or it may be a bit difficult, but it is not the case for us. And in fact, more than half of the new policies produced in the first half, they are protection policies and our critical illness product, the VONB grew by 7% from February to June. This shows the strength of our Premier Agency. I also want to add a little bit color about the product mix shift saving plan versus protection. In fact, [ AIA ] China is the first insurance company to come up with the tax deductible pension benefit plan and it became our top seller among the agency force in second quarter. And I want to let you know that, in fact, among the saving policy, the long-term saving policy we saw in Mainland China throughout the first half, actually, 75% of them were sold to existing customers. So we are deepening the share of wallet. On the other hand, for the new pension benefit plan that we launched, 35% of them are new customers, and our agent will have a lot of opportunity to do upselling. I think this demonstrates the strength of our differentiated Premier Agency force. At the same time, in the first half of this year, we also have triple-digit growth in our bancassurance, of course, coming from a smaller base, but it shows that we are able to penetrate through our partnership with the China Post Life group and also our exclusive bancassurance partner, Bank of East Asia. So let me...
Yuan Siong Lee: Before -- so on the margin question and before I hand over to Garth, yes, we are focused on protection. As Jacky said, the majority of protection products in China, even Hong Kong, is a protection focus. The margin remains very healthy. And as you rightly pointed out, we don't focus on margin alone, we are more focused on the group in VONB. But that said, I think, the VONB margin levels that we are seeing is a very healthy levels of VONB margin. Just an example. In China, where we use close to 10% risk discount rate, the kind of VONB margin that we are delivering it demonstrates that we are very -- these are very, very profitable products for AIA China and for AIA Group and the IRR of our new business is in excess of 20%, yes.
Garth Jones: Yes. Thanks, Jacky. And certainly, most things have been said already, Charles. I mean, clearly, excellent VONB growth and we've said, as you quite rightly noted, that consistently, we focus on overall VONB growth sometimes through cycles that will be more protection-based, sometimes in margin growth, sometimes, it will be more savings and volume based. The key thing is that we have the strong agency force, professional agency force, that sells to the needs of customers and can adapt with the market. I mean, as an Yuan Siong said, our margin remains healthy, over 50%. And if you look at the PVNBP margin, that's been very stable close to 10%. So very happy with the profitability of the products.
Yuan Siong Lee: Yes. There was also a question about our expansion. We continue to be engaged with the regulators, both at national level and also at the regional level. And we are happy with the progress to date, yes.
Operator: The next question comes from Thomas Wang of Goldman Sachs. [Operator Instructions].
Thomas Wang: Can I just follow up on the China margin, firstly? Can you help me to understand the margin decline on a year-on-year basis. How much of that was probably driven maybe by the bancassurance margin dilution? Maybe how much was from agency or the product mix change? Or was there any other factor that we need to consider when we think about that change? The second part. On China is, we see the strong growth in the other -- the new provinces we've got since 2019. Am I right to understand that the agent -- active agents and new recruits, a lot of them still haven't been really in production for March? Maybe only 1 or 2 months and we should see a stronger growth in the second half on those new provinces?
Yuan Siong Lee: Garth, you take the margin.
Garth Jones: Yes. Yes. Thanks, Thomas. I think the thing to note with the margin was that the vast majority of the business is still through the agency channel. And as Yuan Siong and Jacky said, we don't sell [ interest sensitive whole life ] through the agency channel. The agency VONB margin actually remained close to 60%, so still very strong. And we continue to be focused in the agency on the protection and long-term savings. And again, the agency force have been able to sell the pensions product that Jacky mentioned. I think, again, that shows the quality of the agency force. So that should give you some idea.
Yuan Siong Lee: Yes. I think I also like to reiterate what Jacky said about the fact that the, through our Premier Agency force in China, we seek to service and provide for the needs of our insurance -- of our customers who are middle class and affluent customers. Through their different life stages, we sell to them protection. And then we should -- as they go through different life stages, we sell to them different products according to their needs. As they grow older, as they have -- set up their families, have children and then become empty nesters and start planning for retirement. So just as an example, the middle-class customers that our agent service have on average 6 policies with AIA China. So I think this actually demonstrates that how we are working with our customers. And as Jacky said as well, we continue to focus on selling critical illness. Critical illness VONB grew in the period after the reopening from COVID. And we -- it can also be seen that as we further professionalize our agency force, as they use our needs-based selling tools, as they get in deeper conversations with their customers, we see that our customers are increasing the sum assured of the critical illness as well. So all these are very good signs that keeps -- makes us very optimistic about our China business.
Jacky Chan: Yes. Thank you Yuan Siong. So let me give a little bit more color on the new provinces. As we have been said in the past, we aim to open 1 to 2 new province license per year. And in the past, as you also noted, we keep giving you a very positive message that our new programs have very, very strong growth. And for this one, in the first half of '23, our agency VONB across our new province grew by 36% and number of active agents grew by 44% and the total manpower actually grew by 78%. And we will continue to drive quality recruitment in our new province. As we opened a new Henan, Zhengzhou branch in May this year, we have roughly 500 new agents, and most of them are college graduates. Let me give you a little bit color on our new agent in this -- first half in this year. As I just mentioned, recruitment momentum became stronger after the COVID situation subside from February onwards. Our second quarter number of new recruit increased by 38% compared to our first quarter. And in fact, across AIA China new recruits in the first half of this year, the income of our new recruit increased by 22%. So because we continue to focus on quality recruitment and the building up of our Premier Agency force and we believe going forward, not just our new province, but throughout our presence in Mainland China, we will continue to have sustainable business and growth going forward.
Operator: The next question comes from MW Kim of JPMorgan.
M.W. Kim: I have 2 questions. One is about the shareholder return outlook. So you have the free -- underlying free surplus generation remains very strong with a large free surplus balance. So after the first -- the completion of the share buyback, would it be reasonable to see the more regular buyback potential to enhance that total shareholder return? The second question is about the CSM movement. Would you discuss a bit of details on the variance items on the CSM movement especially the difference between the actual versus estimates in the claim and expenses?
Yuan Siong Lee: I will hand to Garth for these questions.
Garth Jones: Thanks, MW. I think as we've said consistently, we've set out our capital management framework last year. We aim to keep a robust balance sheet. Our solvency is 260% on the LCSM basis, as you see. We look to continue to grow the business, and you've seen 37% growth in VONB in the first half and continue to fund the growth and invest in growth. That's the greatest return for our shareholders. And we get very good returns, good IRRs and short payback periods on the new business. We have a prudent, sustainable and progressive dividend policy. You see another 5% increase in the dividend, and we continue to increase the dividend through COVID. And then we look at what we have available for shareholders beyond that and whether we need all of that capital. That's why we announced a $10 billion buyback program. We're about halfway through that. We've already given back about $5.5 billion of buyback. And so that will continue again tomorrow. And then we will review the situation as it develops. And we said, I think when we announced the buyback, we said periodically, we'd review the situation. That's what we'll do. Yes. In terms of the CSM. The variances and others in there, the operating variance in there is persistency. There's a little bit of negative persistency variance. As you saw in the embedded value, there's a slight negative persistency variance. There's also some equity variance, which is primarily in China and Thailand in the equity markets. But the biggest component is actually due to the illiquidity premium reducing on the U.S. dollar book in Hong Kong. So you see the illiquidity premium reducing, that increases the best estimate liability. And therefore, the CSM reduces. So that's where you see the balance of the variance in others. That's the biggest component.
Operator: The next question comes from Kailesh Mistry of HSBC.
Kailesh Mistry: I just wanted to quickly go back to the... [Technical Difficulty]
Lance Montague Burbidge: I think we lost you, Kailesh.
Operator: Kailesh, I think we lost you. So are you still with us? We will move to the next question. The next question comes from Edwin Liu of CLSA.
Edwin Liu: Firstly, congratulations on a very good set of results. I have 2 questions here. First, I just want to follow up on the new regions in China. Could you give us some color in terms of the current contribution to your VONB from these new regions in China? And in terms of product mix, and Asian productivity, have you seen any difference in the new regions versus the existing regions in Mainland China? And my second question is relating to the CSM and VONB. So in the first half, VONB was up 37%. New business CSM was up 14%. Could you explain on the disconnect here maybe because of interest rate, product mix or just different regions monetization?
Jacky Chan: Yes. Let me continue to take the question on the new regions of Mainland China. In fact, in our presentation, we already put it there. The new region contribute about 4% of our AIA China VONB. And as I said, the growth actually is very strong year-on-year. And in terms of the productivity, et cetera, actually, that will vary according to the economic situation of the new province and new city. As you know, across Mainland China, they are Tier 1 and then Tier 2, Tier 3, Tier 4. So as we expand into the newer provinces, so depending on the economic situation, yes, the productivity will be commensurate to that. And I want to let you know that, in fact, you always -- we always emphasize our agents, the productivity compared to the peers like-to-like in the different cities across Mainland China. Our agents' productivity in terms of VONB is 4x of our peer. And then our agents' income is 2x of our peer on a like-to-like kind of comparison. So this shows you the strength of our agency force across the new provinces.
Yuan Siong Lee: I'm pleased with the progress of the new regions. As you know, Whenever we move into a new province, we actually start with the provincial capital and, for example, Chengdu, Wuhan, Zhengzhou and typically, these cities, the economic powerhouse of the province. I think second point I'd like to talk -- mention about the new regions is that whilst we are pleased with the progress made, I think we have to recognize in the last 3 years, it has been quite disruptive. Already, it's quite difficult to launch a new branch. But to launch a new branch in a pandemic where there's a lot of  stop, starts and there's a lot of interruption to your normal operations is challenging. But as Jacky has elaborated, we have been able to continue to demonstrate very strong performance from our new regions, which is something that I'm pretty happy about. Going forward, the hope is -- and everybody's hope is that we will have less disruptions post pandemic.
Garth Jones: Yes. On the new business CSM, Edwin, clearly, VONB and new business CSM grew strongly in the first half. That ratio of 1.7, still a very high ratio between new business CSM and VONB. It's a function of the underlying geographical mix, product mix and economic conditions. Typically, I think as we noted earlier, we'd expect them to move in parallel, but they are on a different basis at the end of the day with the accounting basis for the CSM and the other being a shareholder value perspective. What we have seen is that, that ratio has changed the new business CSM to VONB has changed, largely because of the product mix shift that you saw in Hong Kong and Mainland China towards long-term savings products. But I think the key thing to note is that the new business CSM still remains much larger than the VONB, and that reinforces the prudence in the EV methodology. Then we -- as we said previously, we view value of new business, EV and free surplus as key measures for shareholder value and look at those more closely.
Lance Montague Burbidge: Thanks, Garth. We actually have Kailesh's questions. He's sent them through, so I can read them out and then we can go through those. First is on the China and Hong Kong VONB margin. Can you provide a waterfall for the margin evolution as we do for the VONB margin for the group on Slide 20? The second question is on China agents. What was our agent head count at the end of the first half? What percentage are active, and how do they compare with pre-COVID? And the third one is about details of the solvency ratio, the LCSM solvency ratio move. There's a 15 percentage point impact from nonoperating items. Can you provide some color on what the temporary move is? And what were the regulatory changes in Korea and New Zealand that negatively impacted the ratio?
Yuan Siong Lee: I think Garth, you have to take the first and the third and, Jacky, the second.
Garth Jones: Yes. I mean, to provide a bit more color. I think the Hong Kong change would -- there hasn't been that big a change in the channel split. So that would be primarily from product mix, Kailesh. I think on China, clearly, there's also a product mix in the agency force, but the bancassurance channel is clearly lower margin than the agency channel. So that will also have an impact. But the product mix is significant also. In terms of the nonoperating, the temporary movement is where we are moving cash between companies, and there are certain instruments we use that are nonqualifying for solvency purposes that will reverse as those transactions move through the system, and we move cash from one place to another within the group. In terms of the regulatory changes, the biggest one there, the New Zealand one is relatively small, but the biggest one is the introduction of the Korean ICS regime. What that's done is moved from a -- to a more risk-based system. That's released about $900 million into free surplus. And what we've seen though is that the required capital has also increased and the ratio is less than 260% of those for Korea. So that's why it comes down slightly. But if you take all that noise out, you can see that the LCSM was broadly flat. And again, the sensitivities are very small, yes.
Jacky Chan: Yes. As to the [ AIA ] China agency forces. As I said, during the pandemic time, the industry see themselves, a drop of 50% and  [ AIA ] China's agency force remained intact. And as the COVID situation subsided after January and our new record, actually momentum with banks and very strongly, especially second quarter new record is a 48% growth over first quarter. As of the end of first half, agency force is roughly flat, and activity is also roughly back to the pandemic level, is roughly flat compared to pandemic but our productivity actually has a double-digit growth. This drives growth -- a strong result in the first half '23. I want to say that, in fact, after this first half, as I said, the  COVID situation already subsided. Our momentum and fundamental strength actually saw a very strong rebound in the second quarter. And therefore, we continue to see that the AIA Premier Agency force is really a differentiated agency force in China, and we are able to capitalize the opportunities ahead of us. And also, AIA China has the most number of MDRT qualifiers globally, right?
Operator: The next question comes from Tianjiao Yu of Bernstein.
Tianjiao Yu: I just wanted to ask 2 questions. Firstly, on Hong Kong. Can you help talk about the Hong Kong recovery? The moment seems building up in the second quarter compared to the first quarter. I want to understand what's the underlying demand. Is there any underlying demand shifts, particularly in between the savings versus protections? Second question is around China. You mentioned about the recruiting in the new branches, which is showing very good momentum. Can you also talk about the established launches in your Beijing, Shanghai, et cetera? And also just to clarify, you mentioned about the protection mix in China that is more than half. Is that by number of policies or it's by the A&P mix? Just wanted to understand the protection mix in terms of A&P. And then lastly, if I may. The rising interest rate headwinds doesn't seem to impact your investment book this time. We saw the fair value gains from the debt securities and also the derivatives. Can you elaborate more on that, please?
Yuan Siong Lee: Yes. I think Hong Kong delivered an excellent performance of growing by 111%, mostly driven by our recovery in the MCD business. I think we are also very happy that the domestic segment, which is focused on selling to Hong Kong residents, we also saw double-digit growth. And we are adding our capacity in terms of servicing MCD business by increasing our recruitment of MCV focused agents. Now so I hand over to Jacky.
Jacky Chan: Thank you, Yuan Siong. And I'm very happy to report that Hong Kong has a very strong growth in the first half of this year across all channels and across all customer segments. And the agency force grew strongly, strong double-digit growth. And in fact, our partnership distribution actually has a triple-digit growth. And across our customer segment. Domestic segment has a growth of double digit, and the MCV actually has an excellent impressive growth. I want to give you a little bit more color because you can see that our MCV momentum remained strong. The second quarter MCV VONB grew by 64% compared to the first quarter. And our MCV business, as we have been talking in the past, it is -- has a strong combination with the Mainland Chinese visitors to Hong Kong. And AIA Hong Kong is able to capitalize all this opportunity driven by a strong fundamental of our agency force, double digit growth in the active agent and our number of new recruits in the first half increased by 60%. And in fact, the Hong Kong -- as the Hong Kong continued to move from first quarter to second quarter. First of all, we already mentioned a majority of our new policies sold in Hong Kong Protection products. And as the MCV customer segment is concerned, in fact, for the very popular critical illness product in the second quarter, by a number of policies, the MCV purchased 5 percentage more compared to the first quarter in terms of the CI policies, by number of policy. So this really shows a very strong momentum and also a Premier Agency force, and we are able to meet both the protection needs and the long-term saving needs of Hong Kong.
Yuan Siong Lee: I'll just add that as -- I don't know whether you'll recall, when I -- last year at interim results presentation, I also mentioned -- shared with you all my observations when I visited Mainland China that the -- I thought that the demand for Hong Kong products by Mainland Chinese customers is very, very strong. And I think after the reopening of the border, the momentum that we saw in Hong Kong clearly demonstrates that the demand for Hong Kong products by Mainland Chinese customers is very strong. I think there's a question about the established branch.
Jacky Chan: Yes. The second question about the China, the new branches and also how about the other established branches and new recruit. In fact, when I say that the second quarter new recruit actually increased by 48% compared to the first quarter. That applied to the whole Mainland China. We also cover those additional branches as well. So as I said, recruitment momentum actually is coming back strongly, showing the fundamental driver of our Premier Agency. And on the protection front, what I mean is also similar to what I meant, I mean in Hong Kong. We are talking about the activity of the agents shown by a number of policies. So among all the new policies that we saw in Mainland China in first half, more than half of them or the majority of them, they are protection products.
Garth Jones: And yes, on the interest rate movements. I think one thing, obviously, to remember for this half is the first time we're reporting on IFRS 17 and 9 formally. Previously, we reported under IFRS 4 and under IFRS 4, which is noneconomic, movements in the assets came through into the net profit and movements in the liabilities didn't come through in the same way. As a result, the IFRS 17 profit for last year was [Audio Gap] tandem, reflecting the matching between our assets and liabilities by around [ $2.5 ] billion. You'll see that in the statement of consolidated shareholders' allocated equity.
Operator: The next question comes from Michael Chang of CGS-CIMB Securities.
Poyung Chang: This is Michael Chang from CGS-CIMB. Just some questions. Firstly, on the VONB margin on Page 20. I noticed there's other -- if you look at the VONB margin movement, there are others, including assumption changes impact of plus 2.2 percentage points. Can I just clarify what that is? And then secondly, moving on to the MCV business. I note that the IFA growth rate was extremely impressive at 165% year-on-year. Can I get some clarification or some light shed on what percentage of the MCV VONB in the first half comes from the broker channel versus the agency channel? And how does that compare to maybe prepandemic levels? And then also in relation to the geographical source of the MCV. I think I understand that about 60% of the VOMB comes from outside GBA in the first half of this year. How does that compare to the prepandemic levels? And how is that shifting? If I take a look at first quarter and second quarter? And maybe just lastly on ASEAN, especially Singapore and Malaysia. So while other regions are growing very strongly, if I take a look at Singapore, Malaysia, it's up 5% and 10% year-on-year, I'm aware that some part of that might be due to a higher base effect as these regions exited [ Omicron ]. But could you shed some light on the underlying business momentum because I think there's some concern that given that Singapore's GDP is slow materially, maybe this could impact insurance demand. So I would appreciate if you could share your thoughts on that.
Garth Jones: Yes. On the margin movement, the others, including assumption changes. The biggest item there, which accounts for pretty much all of it is the acquisition expense overrun change. As we've seen volumes come back, particularly in Hong Kong, then we have seen those acquisition expense overruns disappear. And as you remember, we take our acquisition expense overrun straight through to value of new business, which is a very prudent way to publish the numbers. And know that the volumes have increased and those expense overruns have disappeared, we've got a corresponding increase in margin.
Jacky Chan: Okay. So I'm also very excited to talk about the MCV business more. And as a whole, in the first half, MCV contributed a little bit over half of our total VONB in Hong Kong and Macau. And in terms of the channel speed, as I think you already understand, in fact, the IFA broker channel has a higher proportion coming from MCV far higher. So you see that once the border reopen, our partnership distribution actually is triple of before and a very high triple-digit growth for the IFA broker. Just want to supplement that. In fact, exclusive bancassurance partnership with Citibank and BA also come up with very strong double-digit growth in the first half. So among the IFA channel, yes, there is, of course, higher -- much higher proportion coming from MCV. So you can imagine that it means that in our agent channel, it is a little bit more balanced. I would say this is good because we want to continue to have growth in both the domestic and the MCV customer segment. Now in terms of the MCV, I also wanted a little bit color as it transits from first quarter to second quarter. As I said, we have a good growth in the second quarter, VONB 64% compared to the first quarter. When we look into the customer mix between new and existing. Actually, in second quarter, 79% of the MCV VONB comes from new customers in the second quarter. And in the first quarter, it is about 59% they are new customers, meaning that our agency force, our distribution channel are able to tap into the new MCV customer coming across the border. And it also demonstrates there is very strong interest for those who are more affluent and above MCV customers to come to Hong Kong and Macau for their financial planning needs. So this shows the sustainable momentum for the MCV business. And maybe I may say a little bit about the so-called of the geographical spread of the MCV. As you know, we already mentioned that. So roughly 40% of the MCV come from GBA and the rest actually is very diverse coming from all parts of Mainland China. We say this kind of speed, about 40-60 is roughly similar to the prepandemic level.
Yuan Siong Lee: Start off with ASEAN and then I hand over to Hak-Leh, who's RC in charge of most of the markets in the ASEAN region. I think we're very happy with the performance in ASEAN. I think it's been -- ASEAN -- in many of the ASEAN markets, we have a very strong presence, market-leading position. Our brand is very, very powerful in these markets, and we very well recognized. ASEAN is an important market for us. It contributes to 1/3 of our VONB. And as a whole, the ASEAN region has grown consistently actually over the last couple of years. And this -- first half of this year delivered a very respectable 12% value of the VONB growth. Our agency force, we have the best and most productive agency force in the ASEAN region in terms of MDR team members, number one. We have partnerships with many leading regional banks, Public Bank, Bangkok Bank, BPI, BCA, et cetera. So in fact, in several of the ASEAN markets, our -- the value of new business has actually exceeded the first half of 2019 VONB levels. So over to Hak-Leh.
Hak Leh Tan: Thank you, Yuan Siong. Thanks for the question, Michael. Let me start with Malaysia. Malaysia achieved a 10% growth first half of this year, and that's on top of a very strong growth of more than 20% in 2022. And the growth in Malaysia came from both agency and partner distribution channel. In fact, the size of our agency force in Malaysia is close to 50%, bigger than prepandemic. The number of active agents first half this year was about 49% more than the number of active agents in the first half 2019. And our agency force continue to serve both the conventional as well as the affluent markets, focusing primarily on protection business. Likewise, we've seen very significant increase in productivity from our partnership with Public Bank as a result of the significant enhancement and collaboration between both parties to strengthen the entire process of leads identification, leads management as well as our ability to provide bespoke solutions to Public Bank's customers. So we remain very optimistic about Malaysia. We clearly are a market leader in many aspects of the business. And of course, in the first half of this year, our Malaysia business continued to outperform the market quite substantially. Moving on to Singapore. For first half, Singapore achieved 5% growth. The bulk of the growth came from a strong recovery in the partnership distribution in China. Our Corporate Solutions business in Singapore, which we are clearly #1, continued to deliver double-digit growth in first half. Agency recruitment grew very strongly, particularly in the second half of this year. In fact, the number of recruits grew by more than 20% in the second half of this year [Audio Gap] the onshore and offshore customers. And within our product portfolio, we have both unit-linked businesses as well as traditional products. In terms of all the focus, traditionally, we've been very strong in protection business -- both protection -- life protection, critical illness and medical insurance protection. We see protection business to be -- continue to be highly relevant under most economic cycles. We are -- so overall, in Singapore, we believe the external distribution channel, the comprehensive range of products that we have as well as the market leading digital tools that will enable us to continue to serve the market well and grow the business together with the whole industry.
Operator: The last question comes from Leon Qi of Daiwa Securities.
Leon Qi: I have 3 questions today. Firstly, actually on Thailand, which is the fastest growing ASEAN market. I do note a very successful progression of your FA program in Thailand, which presumably is helping both your volume and margin in Thailand. But FA is only 35% of your agency VONB in the first half. It looks like there is still plenty of room to -- for FA channel to be much more significant to your Thailand growth. So I'm just wondering, do we have a target of our FA contribution in Thailand? And a bit more specifically on the product mix in Thailand. What specifically products actually help in driving our margin uplift in Thailand? And secondly, on China Post Life. I note that on the one hand, the growth has been significant for China Post Life. But on the other hand, the core solvency margin has also been declining. It has dipped to 71% as of the end of first half this year. So wondering, in the case that China Post Life need some capital injection, are we going to keep our current stakes here and what's our plan in terms of our capital management in China Post Life? And lastly, on CSM. I appreciate that the CSM release rate accelerated to 9.7% on an annualized basis in the first half. Just want to understand the reason behind that. Was it just because of the seasonality? Or there has been some average tenure changes in your product mix.
Yuan Siong Lee: Thank you, Leon, for your question on Thailand. I was going to jump because Thailand clearly was a star performer in our ASEAN markets with 28% VONB improvement. And I think very consistent strong performance over the years, in the pandemic. And I mean it is one of the markets that I mentioned that has actually exceeded the 2019 first half levels of VONB production. We are #1 in agency, and we have a very strong partner in Bangkok Bank. Hak-Leh, do you want to elaborate?
Hak Leh Tan: So maybe just a bit more color on our FA that you referred to. As you're probably aware that we've been in Thailand for about 85 years. We have had very large and we've had very large and well-established agency force. FA was a program that we launched about 7 to 8 years ago with the objective of recruiting full-time professional agents. As you can see from the presentation that the FA program has been extremely successful. In fact, the VONB from FA in the first half of this year was more than double the VONB from FA in the first half of 2019. The -- in fact, many of the successful FA have since moved on to become the highly successful agency managers that are building a long-term career with us. Of course, other than FA, we do have a large pool of agents that has been with us for many years. And many of them continue to be highly productive. In fact, as you've seen in our presentation that we are #1 in MDRT in Thailand. We have the highest number of unit-linked qualified producers. Our agency force is probably the most successful agency force in delivering unit-linked products with high protection elements. So moving on to the margin on the products. The VONB margin first half this year increased compared to first half last year. But it actually remained at the same level, same VONB margin level as the second half of last year. And that's as a result of our ability to continue to sell a lot more long-term protection business, particularly critical units and medical plans. And that's been a key strength. And of course -- and we are selling the whole range of products, both long-term savings and protection via the Bangkok Bank channel as well. So that's -- with that through both our agency channels as well as partnership distribution with a comprehensive range of products that we have, we are in a good position to meet the needs of the customers in Thailand.
Yuan Siong Lee: Yes. On China Post  Life, very happy with the performance, strong business growth. Our technical assistance team led by our previous Group Chief Actuary, is working very well with the China Post Life management and helping them to enhance the quality of the business. As you can see, there's a clear shift towards longer premium-term and regular premium business. Regular premium as a percent of total new premium is now 83%. And there's also an increasing focus on selling more differentiated products, including critical illness products, which as we saw quite a strong increase in China Post Life as well.
Jacky Chan: Yes. Thank you, Yuan Siong. In fact, we are very pleased with our 24.9% investment into our CPL. In the past 18 months, the technical assistance team actually did a very great job collaborating with the CPL management in shifting the product mix away from single premium to a more regular pay product. And also the margin actually continued to increase, and also a good increase in the critical illness production. In fact, let me give you a little bit color. In fact, based the current new business mix for China Post Life already contribute positively to the capital. It generate positive surplus to the capital. The solvency for CPL is more impacted by the mark-to-market kind of valuation of the underling asset. So we believe that with this continuous improvement in the liability side, in the product, in fact, the solvency ratio should remain strong. Of course, we continue to monitor closely, depending on the market situation on those kind of mark-to-market situation.
Garth Jones: And then I'll just finish on the CSM release rate. First thing to say is that it's only gone from 9.5% to 9.7%. So it's quite a small increase. There's 2 small reasons for it. One is on the new business that we sold in Hong Kong in the first half actually has a slightly higher release -- CSM release rate this year. The second was -- actually goes back to the protection and our protection business in Mainland China that we actually had a campaign on a particular part of our portfolio in force to upgrade the coverage which also increased the CSM release rate very slightly. So that's the answer to that. With that, I know many of you have to get to another company's results presentation. Thank you all for your questions. Obviously, if you have any more, the Investor Relations department will be available to take them. Thank you very much for listening.
Operator: Ladies and gentlemen, this concludes AIA's 2023 interim results Q&A session. Thank you for your participation.